Fredrik Berge: Good morning, and welcome to the presentation of Aker's second quarter results for 2025. My name is Fredrik Berge, and I am Head of Investor Relations. We will begin today's presentation with Aker's President and CEO, Oyvind Eriksen, who will take you through the quarterly highlights and recent developments in the portfolio. Our CFO, Svein Stoknes, will then cover the quarterly financials in more detail. After the presentation, we will have a Q&A session. And with that, I hand it over to Oyvind Eriksen.
Oyvind Eriksen: That's appreciated, Fredrik. And thank you, everyone, for attending this presentation of the Aker ASA's second quarter and half year results. During the quarter, we announced important transactions, and we outperformed the market despite continued geopolitical uncertainty and volatility. Aker's net asset value rose by NOK 4.5 billion, reaching NOK 66.5 billion. We returned NOK 2 billion to shareholders through dividends and the total shareholder return for the quarter was 10% compared to a 7% increase in the Oslo Stock Exchange Benchmark Index, and 11% decline in the Brent oil price. The first half of the year was once again an active period for Aker. We took several meaningful steps aligned with our long-term strategy to simplify our portfolio and focus on growth platforms with dividend capacity or dividend potential. Aker Property Group expanded its footprint in real estate through investments in SBB and Public Property Invest or PPI. In Aker Horizons, we took important steps to consolidate and simplify our ownership structure. In parallel, we acquired Aker Carbon Capture's 20% stake in SLB Capturi. Solstad Maritime was listed on the Euronext Oslo Stock Exchange. Philadelphia Shipyard distributed NOK 105 million in liquidation dividend and the company is now in the process of being delisted and thereafter liquidated as soon as the escrow period expires in 2028. And AMSC distributed its shares in Solstad Maritime as a dividend in kind, ahead of its IPO in May. This debt returned more than NOK 2 billion to shareholders. Next is liquidation of the company with expected completion in the third quarter this year. Continuing on the theme of shareholder value creation. Across our portfolio, Aker Companies distributed more than NOK 19 billion in dividends to shareholders in the first half of 2025. While some of these were extraordinary dividends, it reflects our strategy to diversify and strengthen our sources of upstream cash flow. This level of distribution also speaks to our underlying resilience and solid financial performance. Let's now turn to real estate. Already a contributor to Aker's value creation and set to play an even larger role ahead. In the second quarter, we took deliberate steps to strengthen our position in the sector. Through Aker Property Group, we invested in SBB and PPI, which together managed properties worth more than NOK 100 billion. SBB is one of Europe's largest real estate companies within social infrastructure. It has a strong underlying operations, but a challenged balance sheet with excessive debt. This situation enables an attractive entry points at favorable terms. The investment also resonates with our focus on active ownership. With Board representation, we are positioned to support the revitalization of SBB alongside other Board members and management. The shared goal is building a more robust and sustainable platform for long-term value creation and growth. We are also prepared to contribute additional capital and utilize our capital market experience, partnerships and long-term perspective to support the company's transformation. PPI, on the other hand, already meets our investment criteria in terms of structure and balance sheet. However, we see further potential to grow the company's portfolio of properties with long-term leases and stable cash flows, laying the foundation for attractive quarterly dividends. Together, these investments represent a compelling fit with Aker's strategic ambition to increase our exposure in the real estate sector, which contributes to further diversification of our portfolio and in creating shareholder value by deploying our financial and transactional capabilities. So let's turn to Aker Horizons. As announced in May, we are merging Aker Horizons business with Aker, which will enable sharper strategic focus on the company's remaining assets. Mainstream, SLB Capturi and powered land in Narvik. In parallel, we acquired Aker Carbon Capture's 20% stake in SLB Capturi. Aker ensured a significant liquidity event for ACC shareholders who have received dividends of NOK 5.2 billion during the first half of 2025. These transactions bring closure to a challenging chapter for Aker Horizons and lay the foundation for renewed value creation. One area of growing potential is digital infrastructure, previously both in Aker Horizons as operator and in ICP Infrastructure as a financial sponsor. We are now in the process of consolidating Aker's data center initiatives under Aker's direct ownership. This brings clarity and long-term commitment that has already been well received by potential partners and customers. Key personnel from both Aker Horizons and ICP Infrastructure continue to be part of the development projects now under Aker's leadership and ownership. With 230 megawatts of power, a construction-ready site and a strong partner ecosystem, we continue exploring opportunities for an AI factory in Narvik. Moving on to industrial software and Cognite. Cognite is accelerating its growth, delivering a strong second quarter. At the heart of their success is Cognite Data Fusion, more than just a data platform. It's a powerful AI-driven engine that transforms industrial operations. It empowers organizations to make smarter decisions, resolve issues faster and operate more sustainably. The latest release of CDF introduces cutting-edge features like AI agents and ready-to-use data models, which are already driving measurable impact across global industries. With over 140 ARR customers and growing, Cognite is earning recognition as a leader in industrial data innovation. Their ability to outpace competitors is a testament to their strong technology foundation and sharp focus on delivering business value to customers. As demand for AI, robotics and automation continues to surge, Cognite is perfectly positioned to lead the next wave of industrial transformation. Let me finish my part of today's presentation with a few words about our smallest, but also most symbolic investment in the quarter, a full-scale replica of the Dinosaur T-Rex, reminding Aker employees about the risk of becoming obsolete if we are not agile, adaptable and open for change. History tends to repeat itself. Geopolitical turbulence is no exception. Neither is Aker's ability to adjust strategies and portfolio in response to new market realities and opportunities, like what we continue to do in the second quarter by scaling down our green businesses and reallocating resources to real estate, industrial software and possibly AI factories. The ability to pivot has been key to our value creation over time. In fact, the vast majority of today's value comes from companies that barely existed when Kjell Inge and I began this journey. And the second quarter is a clear continuation of this pattern. The long-term adaptability served Aker shareholders well, and I believe it will continue to do so. Well, I now hand it over to Svein Stoknes who will go through the financials for the quarter in more detail.
Svein Oskar Stoknes: Thank you, Oyvind, and good morning. Before we proceed, I would like to draw your attention to a change in our reporting structure. Replacing the previous industrial holdings and financial investments categories, Aker's portfolio will now be grouped as listed and unlisted equity investments. We believe this new structure will facilitate more effective monitoring of value generation and enhance the clarity of our portfolio composition and net asset value reporting. The new structure will also increase the transparency regarding the value potential within our unlisted portfolio. To begin, I will provide a brief overview of the key numbers for our listed and unlisted equity investments as well as cash and other assets, followed by a more detailed discussion of our financial results. At the end of the second quarter, Aker's listed equity investments were valued at NOK 55 billion. This represented 72% of the company's total assets equivalent to NOK 736 per share. The value increased by NOK 4.7 billion compared to the previous quarter, with the main contributions from Solstad Maritime and Aker BP. During the quarter, a dividend in kind from AMSC increased Aker's ownership in Solstad Maritime from 42% to 52%. And following Solstad Maritime successful IPO in May, the reported investment value has been adjusted from book value to market value. Total dividends received from listed investments in the second quarter amounted to NOK 2.3 billion with Aker BP accounting for NOK 880 million, Aker Solutions for NOK 640 million and Solstad Maritime for NOK 186 million. Additionally, Aker received a dividend in kind from AMSC valued at NOK 926 million. And of this, NOK 572 million was recognized as dividend income and NOK 354 million as repayment of capital. Then over to Aker's unlisted equity investments, which represented 17% of Aker's total assets at the end of the quarter and were valued at NOK 13 billion or NOK 179 per share. This represents an increase of NOK 1.5 billion compared to the previous quarter. Of this amount, NOK 687 million is explained by the value change in Aker Property Group following investments in SBB and Public Property Invest. During the quarter, Aker also acquired a 20% ownership stake in SLB Capturi from Aker Carbon Capture for NOK 635 million in cash. This holding is included under unlisted investments as of the second quarter. Additionally, now reporting the market value of Seetee's 754 Bitcoins contributed NOK 319 million to the quarterly value change. These assets were previously reported at book value. And the overall value increase was partially offset by a negative value adjustment of NOK 195 million related to the investment in ICP. Finally, cash and other assets, which represented 11% of Aker's total assets at the end of the quarter, equivalent to NOK 112 per share, with the cash balance at the end of the quarter at NOK 624 million. Cash inflows totaled NOK 4.2 billion, composed of a loan drawdown of NOK 2.5 billion and cash dividends received from Aker BP, Aker Solutions and Solstad Maritime of in total NOK 1.7 billion in the quarter. Cash outflows amounted to NOK 4.5 billion, including a dividend payment of NOK 2 billion and an interest-bearing loan to Aker Property Group of NOK 1.7 billion. Net investments in portfolio companies ended the quarter at NOK 614 million, of which NOK 635 million related to the acquisition of a 20% stake in SLB Capturi. And operating expenses and net interest totaled NOK 224 million in the period. Then let's move to the second quarter financials for Aker ASA and holding companies and starting with the balance sheet. In accordance with our accounting principles, investments are recognized at the lower of historical cost and market value. At the end of the quarter, the book value of Aker's investments was NOK 28.6 billion, which represents an increase of NOK 1.1 billion compared to the previous quarter. This change primarily reflects a NOK 635 million investment in SLB Capturi and NOK 572 million from shares received in Solstad Maritime as a dividend in kind on the shares under the TRS agreements. The book value of equity at quarter end was NOK 27.1 billion, up NOK 1.4 billion, mainly due to the profit before tax in the period. On a fair value adjusted basis, Aker's gross asset value was NOK 76.3 billion. After subtracting for liabilities, the net asset value amounted to NOK 66.5 billion or NOK 895 per share, and the value-adjusted equity ratio was 87%. Of the total liabilities of NOK 9.8 billion, NOK 9 billion is related to bond debt and bank loans. And the noninterest-bearing liabilities includes NOK 585 million negative value on the AMSC TRS agreements, primarily as a consequence of the distribution of NOK 572 million dividend in kind in the period. Aker's financial position remains robust with a total liquidity buffer of NOK 6.4 billion, including undrawn credit facilities and liquid funds. Net interest-bearing debt was NOK 2 billion at the end of the quarter, up from NOK 0.8 billion in the previous quarter and as a result of strategic investments and capital allocations made during the period. The loan-to-value ratio stood at 11%, reflecting our conservative approach to capital structure. Additionally, approximately 72% of Aker's gross asset value is held in listed assets and cash, ensuring both transparency and liquidity. At quarter end, Aker's weighted average debt maturity was 3.3 years. The company drew NOK 2.5 billion from available credit facilities, mainly to acquire a 20% stake in SLB Capturi and to fund Aker Property Group's investments in SBB and Public Property Invest. Including available options for credit and loan extensions, the overall effective loan maturity is about 4.4 years. Moving to the income statement. Operating expenses in the second quarter were NOK 127 million, reflecting a high activity level in the period. Dividend income was NOK 2.3 billion, mainly from Aker BP, Aker Solutions, AMSC and SalMar. The net value change was negative NOK 71 million, primarily due to negative value adjustments in ICP and Akastor that was partially offset by gains in Solstad Offshore. Net other financial items totaled negative NOK 682 million, driven mainly by NOK 585 million loss on the total return swaps as explained earlier, in addition to a NOK 58 million noncash net foreign exchange loss. And finally, our profit before tax was NOK 1.4 billion for the quarter. Thank you. That concludes today's presentation, and we will now proceed to Q&A.
Fredrik Berge: Thank you, gentlemen. So Oyvind, starting with the real estate investments. What is Aker's strategic plan and ownership agenda, also given SBB's financial situation?
Oyvind Eriksen: Well, this started with our strategy and plan to allocate more capital to real estate in the current market. And then we identified SBB and PPI as 2 attractive investment opportunities with quite different characteristics. PPI fits very well with our investment criteria, and we are committed to support the company for continued growth. SBB is a completely different story and a different point of departure. It's a company which has been through a period of time with financial turbulence, a company which will need to strengthen its balance sheet and rebuild trust in the capital market. And we are already engaged with the Board and the management to rebuild the foundation and as a consequence, reset the company for future growth.
Fredrik Berge: And as a follow-up, do you see the need to contribute more capital to solve SBB's balance sheet?
Oyvind Eriksen: Well, we're ready to do so, provided that an additional capital allocation meets our investment criteria. But how to strengthen the balance sheet is a question to be answered by the Board. And Kjell Inge and I, we are already Board members in SBB. So we were part of that process. So let's run the process and leave the Board to conclude what actions and measures to take in order to strengthen the balance sheet. If capital is needed, Aker has at least the financial strength to support SBB as we do with basically any portfolio company.
Fredrik Berge: And the next question, given the current geopolitical volatility and the potential for new tariffs or trade restrictions, how do you view the macro situation?
Oyvind Eriksen: Well, that's a big question. My role is to help Aker to be well positioned to adjust its business and portfolio to different market realities. So we have been working long and hard to basically be prepared to manage the unknowns. And that has served Aker well so far this year. Certainly, a number of new external factors to understand and manage. But so far, and all the market volatility and all the geopolitical uncertainties have basically not impacted our operation. We are obviously exposed to capital market volatility. But a steady course has been possible for Aker due to our robustness and due to the way we have prepared Aker for also the unknowns.
Fredrik Berge: And then over to the Aker Horizons merger. Could you outline some of the key strategic priorities for the subsegments, how these assets could contribute to value creation moving forward?
Oyvind Eriksen: Well, for Aker ASA, it was important to simplify the structure. In hindsight, it was too complex to have different vehicles trying to position themselves and see the best way forward in different green industries. So we decided to take Horizons private. And as a consequence, we will now consolidate organizations and continue to develop the 3 main remaining assets and activities in the Aker Horizons portfolio. Mainstream in close collaboration with Mitsui, SLB Capturi in close collaboration with SLB as a great partner, both in Carbon Capture and in other parts of the Aker Group. And last but not least, Narvik powered land, where we started exploring opportunities in areas like green ammonia and green steel, but we learned that the need for AI factories and data centers fit even better for the sites. So now we're in advanced discussions with both data center operators and data center customers. And time will tell if we finally manage to turn this into also a forward-looking and attractive opportunity for the Aker Group.
Fredrik Berge: Shifting focus to digital. What is the status on your software portfolio, perhaps in particular, Cognite, which you touched upon in your presentation and the data center opportunities that you also now introduced? And as a follow-up, how do you foresee the need to contribute more capital in Cognite?
Oyvind Eriksen: Well, neither Cognite nor ACE are short of capital. So for us, it's more about how we continue to develop and grow the companies, supported by third parties who can bring to the respective software companies more than only capital. So overall, it's a very exciting part of the Aker Group's portfolio and Aker Group's potential going forward. But the fact that we have Cognite and ACE in our Aker family has also contributed favorably to the digital journey in other parts of the group, Aker BP and Aker Solutions in particular. So industrial software is a growth engine and a value driver in the Aker portfolio, but it's also a transformation tool for the group at large.
Fredrik Berge: Thank you very much, Oyvind. That was our final question. If you have any further questions after the presentation, please do not hesitate to get in touch. And thank you for joining us today.